Operator: Welcome to the Cherry Hill Mortgage Third Quarter 2018 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Michael Hutchby, Controller. Please go ahead.
Michael Hutchby: We'd like to thank you for joining us today for Cherry Hill Mortgage Investment Corporation's third quarter 2018 conference call. In addition to this call, we have filed a press release that was distributed earlier this afternoon and posted to the Investor Relations section of our website at www.chmireit.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to interest income, financial guidance, IRRs, future expected cash flows as well as prepayment and recapture rates, delinquencies and non-GAAP financial measures such as core and comprehensive income. Forward-looking statements represent management's current estimates, and Cherry Hill assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the Company's filings with the SEC and the definitions contained in the financial presentations available on the Company's website. Today's conference call is hosted by Jay Lown, President and CEO of Cherry Hill. Also present on the call today are Julian Evans, our Chief Investment Officer; and Marty Levine, our Chief Financial Officer. And now, I'll turn the call over to Jay.
Jay Lown: Thanks, Mike, and welcome to today's call. We are very pleased with our third quarter performance. In our view, performance in the face of the rising rate environment and overall ongoing volatility in the marketplace further validates our long-term diversified strategy. The vast majority of our team's efforts this quarter involve the day-to-day grind of blocking and tackling required to resolve in a stable Steady as She Goes earnings report. Since our IPO five years ago, we've consistently noted our long-term strategy was predicated on preserving capital while positioning ourselves to succeed across multiple interest rate environments and shine when rates begin to rise. While it took longer than anticipated for the Fed to tighten, our experienced team focused on actively managing our portfolio and positioning ourselves to take advantage when the tide shifted. Today we believe we are in our strongest position in our history. Including in the third quarter, we have now out earned our $0.49 quarterly common dividend for 12 straight quarters. Our MSR portfolio has grown by almost 700% in a span of less than two years. And as we've proven our success is not tied to any one rate environment. I'm proud of our entire Cherry Hill team and we continue to believe our best days are ahead of us. For the third quarter, we generated core earnings per share of $0.55. Our results were driven by strong performances from both our RMBS and MSR portfolios, as well as improved prepayments speeds across the board. Book value per share grew $0.26 quarter-over-quarter and currently stands at $19.62. It was a successful quarter for Cherry Hill on all fronts. With the Fed seemingly committed to its tight monetary policy for the foreseeable future, our diversified strategy should continue to position us well. During the third quarter, we purchased $3.9 billion and additional MSR's through our flow arrangement. By the end of the third quarter, the MSR portfolio stood at $22.4 billion representing 39% of our equity capital. As we've previously stated, our current focus is on the acquisition of MSR's through our full agreement as larger bulk offerings remain less attractive. Also during the quarter, we entered into a $25 million MSR revolving credit facility secured by all of our existing and future Freddie Mac MSR's. That facility was subsequently upsized to $45 million all of which has been drawn down. We also tapped our ATM programs during the quarter and issued preferred and common shares to provide us with net proceeds of approximately $9.4 million. As 2018 comes to a close, we remain confident that our portfolio can produce further strong results while withstanding additional Fed tightening. Our positioning continues to strengthen each quarter and we remain mindful of preserving our book value. Meanwhile, our management team will continue to use our best experience to actively manage our portfolio and deploy capital as what we believe to be appropriate risk return levels, which will ultimately create further long-term shareholder value. With that, I'll turn the call over to Julian who will cover in more detail the highlights of our investment portfolio and its performance over the quarter.
Julian Evans: Thank you, Jay. For the third quarter, there are very subtle changes to the equity composition of our portfolio quarter-over-quarter. As shown on slide 5, at quarter-end servicing related investments comprised solely of full MSR's represented approximately 39% of our equity capital and approximately 14% of our investible assets excluding cash. Servicing assets remained flat at the percentage of equity versus the previous quarter as we utilize more MSR financing as well as pay-downs of the RMBS to grow the servicing portfolio. Similarly our RMBS portfolio accounted for approximately 59% of our equity, a slight uptick from the previous quarter. As a percentage of investable assets RMBS represented approximately 86% excluding cash at quarter-end. As of September 30, we held MSR's with the UPB of approximately $22.4 billion and with the market value of approximately $282 million as highlighted on slide 6. As Jay previously mentioned, we purchased an additional $3.9 billion UPB of MSR during the quarter and expect to continue to grow the portfolio in the fourth quarter. Our MSR portfolio prepayment speeds declined not only as mortgage and interest rates rose but also due to slowing US housing market during that period. Conventional MSR and government MSR CPR's averaged approximately 6.5% and 11.4% respectively down from 7.5% and 11.5% posted during the previous quarter. As of September 30, the RMBS portfolio stood at approximately $1.8 billion slightly down from June 30 as the majority of RMBS cash flows were redeployed in the servicing assets as shown in the slide is better. At quarter end, our RMBS portfolios composition was similar to the previous quarter. 30 years securities positions stood at 72% and the remaining assets represented 28% of the portfolio. In the third quarter, the RMBS portfolio continued to perform well posting a weighted average three month CPR of approximately 6% and 5.8% percent and improvement from the previous quarter and once again outperforming Fannie Mae aggregate prepayment speeds. Overall the portfolio continues to benefit from its collateral composition. For the third quarter, we posted a 1.18% RMBS NIM versus a 0.94% for the second quarter. The increase in NIM was driven by the portfolio's composition and improved amortization costs based upon better prepayment speeds which more than offset rising financing costs. In the near term, we continue to expect our NIM to fluctuate based upon rising legal costs some of it which will be offset by the received portion of our swap portfolio at a three month LIBOR reset [ph]. During the quarter the aggregate portfolio operated the leverage of 4.7 times in a negative duration gap. We ended the quarter with an aggregate portfolio duration gap of minus 1.4 years. Going forward, we expect to continue to evaluate and alter the portfolio as necessary. I'll now turn the call over to Marty for the third quarter financial discussion.
Marty Levine: Thank you, Julian. Our GAAP net income applicable to common stockholders for the third quarter was $25.8 million or $1.62 per weighted average share outstanding during the quarter. While our comprehensive income attributable to common stockholders which includes the mark-to-market of our held for sale RMBS was $12.7 million or $0.80 per share. Our core earnings were $8.8 million or $0.55 per share. As Jay mentioned, our book value as of September 30 was $19.62, an increase of $0.26 per share or 1.3% from June 30. We use a variety of derivative instruments to mitigate the effects of increases in interest rates on a portion of our future repurchased borrowings. At the end of the third quarter, we held interest rate swaps and swaptions or short TBAs all of which had a combined notional amount of $1.52 billion. For GAAP purposes, we have not elected to apply hedge accounting for our interest rate derivatives and as a result we quote the change in estimated fair value as a component of the net gain or loss on interest rate derivatives. Operating expenses were $2.8 million for the quarter of which approximately $443,000 was related to our taxable REIT subsidiary. On September 6, 2018, we declared a dividend of $0.49 per common share for the third quarter which was paid on October 30, 2018 as well as a dividend of $0.5125 per share on our 8.2% Series A cumulative redeemable preferred stock which was paid on October 15, 2018. Our goal remains to distribute regular quarterly dividends of all or substantially of all of our taxable income to holders of our common stock and to the extent authorized by our board of directors. Now, I'd like to turn the call back to Jay.
Jay Lown: Thanks Marty. At this time we'll open up the call for questions. Operator? Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Tim Hayes of B. Riley FBR.
Tim Hayes: Good evening guys. Thanks for taking my questions. My first one can you just give us an update on how much of the RMBS portfolio is non-agency security at this point? And then maybe a little bit of color around that strategy has progressed and how it will continue to progress over the coming quarters?
Julian Evans: Currently about 7% of the portfolio is in non-agency has actually progressed I would argue on the slower side. We did buy some additional securities within the third quarter, it wasn't so much that we thought that some of the securities that we're buying from a return perspective didn't need some of the hurdles that we had I think we just chose to put the additional capital and cash that we had into MSRs over the quarter. So we made an asset allocation decision. I think as we move forward, it will continue to evolve around that making an asset allocation decision kind of figuring out whether we like MSRs better than we like non-agency as well as well as whether we like them better than RMBS or agency RMBS from that perspective. We do find the securities to be a decent alternative to 15 year collateral; however we do think 30 year collateral may be a better play than non-agency collateral so far.
Tim Hayes: Okay. And could you maybe size that for us little bit in terms of just the returns you'd expect on 30 year collateral versus non-agency versus the MSRs?
Julian Evans: In terms on let's say agency 30 year collateral I would probably say is somewhere between 13% and let's call it 15% taking out adjusting for Repo and I would say on the non-agency collateral you're looking at something that's about 11% to 12% adjusting for financing. In terms of the MSR we are seeing double-digits there as well call that somewhere between double-digits.
Tim Hayes: Okay. That's really helpful. And then I just want to confirm I believe you said it early but just all the MSR acquisition this quarter were from the flow sale agreement with RoundPoint?
Julian Evans: Yes.
Tim Hayes: Got it. And then I think on your last call you had said that MSR acquisitions were on pace to exceed last quarter level, but they came in I think flat. So just wondering if the pricing grid has changed much or maybe why that didn't end up coming to fruition?
Julian Evans: Yes. That is a fair question, we did say that. At the time we were getting an over allocation from our flow partner. They got an additional round of capital in and they had some additional money to spend that they were allocating to us in previous months. So, I think on a go forward basis I would say 1 to 1.3 is probably a good run rate, $1 billion to $1.3 billion.
Tim Hayes: Okay.
Julian Evans: And again look we're partners so we try to behave like partners.
Tim Hayes: Okay understood. And I think I'll just jump back in the queue and let anyone else ask some questions. So thanks for taking mine.
Julian Evans: Sure.
Operator: Our next question comes from Trevor Cranston of JMP Securities
Trevor Cranston: Hi thanks and congratulations on a nice quarter. Follow-up question on the MSRs. So it sounds like all the new acquisitions came from the flow agreement in 3Q. I guess we've heard from some of your peers over the last two or three weeks that they've seen an increase in supply in the bulk market as some originators have sort of struggled to return profitability it might be looking to sell some of their assets. Just curious if you guys are seeing that and if that has caused any change in how you guys are looking at the bulk market versus the flow for new acquisitions? Thanks.
Jay Lown: Sure. So we agree that we've seen an uptick, so clearly you're talking about a few friends of ours but we definitely have seen an uptick in the pace of volume around bulk I wouldn't say it's a huge uptick I believe there are some large portfolios that might be coming out to markets shortly but as a general statement those portfolios have traded extremely I'm not going to say the word but they were very well bid. And I think when you're bidding in that sector and you're managing your risk and bidding around very disciplined model it's tough to kind of think about the bulk space when there's a technical imbalance in the market and I definitely believe that today there's a technical imbalance between buyers and sellers relative to the space. Even though to your point there's been more supply, we have seen yields on bulk portfolios coming to levels that we just feel more comfortable playing in the close based. I understand some guys have said that they don't see a meaningful difference between the flow and the bulk yields but we do.
Trevor Cranston: Got it. That's a very helpful color. Then on the financing side, so obviously you guys entered into the new agreement in third quarter. Can you talk generally about what you're seeing in the financing market in terms of if there's any meaningful improvement in terms or the rates that you guys are getting for financing the MSRs? Thanks.
Jay Lown: I think the short answer to that is yes. I think that the street is providing more liquidity I think that the advance rates are creeping up and their hair cuts are dropping. Rates are lower. So, as a general statement it's encouraging to see more liquidity in the space relative to being able to finance the asset and I think some of our peers would agree with that. We are not a size yet where we have contemplated tapping a structured financing transaction, but we feel that between the options available to us both with the broker dealers and with the regional banks that we can continue to grow the portfolio.
Trevor Cranston: Got it. Okay. And last thing for me your book value held up very well during the third quarter. Can you give an update on sort of how you performed in the fourth quarter to-date given the volatility we've seen in the rates in some of the spread markets?
Jay Lown: Yes, I'll let Marty talk briefly to that. We're a little unique given the asset classes we have, but Marty why don't you just quickly touch base?
Marty Levine: It's really too early for us to tell at this point in the quarter. We believe that the portfolio is constructed to protect book value through rising rate environment. So it has performed that way in the last five years and we expect it to continue.
Trevor Cranston: Okay. I guess so independent of the rates because obviously you guys have a negative duration gap now. Have you guys seen meaningful widening in agency spreads and could you maybe just sort of quantify a little bit on - in terms of how much exposure you think you have to widening agency spreads net of the MSRs?
Julian Evans: Yes, I'll comment on it. This is Julian. Basically the agency spreads have widened out about 10 basis points through the quarter when you look at it from that perspective and I would say kind of our exposure, I mean if you look at our hedges we're probably about 90% kind of hedge if you use the combination of swaps, swaptions as well as some TBAs shorts that we have in the portfolio but I would definitely say it's probably affected us by 1% or 2%.
Trevor Cranston: Got you. That's perfect. Thank you.
Operator: Our next question comes from Henry Coffey of Wedbush.
Henry Coffey: Yes, good evening and thank you for taking my call. What is the governor on the dividend obviously there is no reason to increase that given the way the market is valuing the stock but you obviously have taxable earnings are your taxable earnings easy to quantify and are they notably lower than your GAAP results or your core results and I was just wondering how we should think about whatever sort of upward pressure that maybe on the dividend not because you choose to but because of the issue around taxable earnings?
Jay Lown: Well, in the past and up until last year I can tell you that we have to pay out 90 percent of our earnings.
Henry Coffey: Of your taxable earnings not your…
Jay Lown: From our taxable earnings, and yes the taxable earnings and core - although they are not exactly equal quarter-to-quarter at least not on the ballparks that we do but overall through the year it's coming out pretty close.
Henry Coffey: So, if you continue to book this level of this impressive level of core earnings would you opt to pay the excise taxes or would you bump up?
Jay Lown: No. We will pay the taxes. That's for sure. We would give out I think two years ago we gave out an extra $0.05 because we were going to be under our 90%.
Henry Coffey: So you'd manage it as a special, but that sounds like an intelligent way to do it.
Jay Lown: Yes, if it comes to that. If it were to come to that Henry, yes we would manage a special dividend.
Henry Coffey: Excellent. Thank you.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Jay Lown for closing remarks.
Jay Lown: Thanks and thank you for joining us on today's call everyone. We look forward to updating you soon on our fourth quarter results. Have a great night.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.